Operator:
York Ragen: We didn't hear the intro, so hopefully you can all hear us this morning. Good morning, and welcome to our third quarter 2014 earnings call. I’d like to thank everyone for joining us this morning. With me today is Aaron Jagdfeld, our President and CEO. We will begin our call today by commenting on forward-looking statements. Certain statements made during this presentation as well as other information provided from time-to-time by Generac or its employees may contain forward-looking statements and involve risks and uncertainties that could cause actual results to differ materially from those in these forward-looking statements. Please see our earnings release or our SEC filings for a list of words or expressions that identify such statements and the associated risk factors. In addition, we will make reference to certain non-GAAP measures during today’s call. Additional information regarding these measures, including reconciliation to comparable U.S. GAAP measures, is available in our earnings release and SEC filings. I’ll now turn the call over to Aaron.
Aaron Jagdfeld: Thanks, York. Good morning, everyone, and thank you for joining us today. Third quarter net sales were $352 million as compared to $363 million in the third quarter of 2013, a decrease of $11 million or 3%. Our third quarter results reflect seasonally higher home standby sales that improved at a solid rate as compared to the second quarter of 2014 as we continue to build awareness and expand our leadership position in this product category. Also our C&I products continue to see some nice momentum with the oil and gas market as we experience some notable strength during the quarter from rental equipment customers in the U.S. Offsetting this strength however, was the continuation of a power outage environment that remained well below normalized levels and negatively impacted portable generator shipments and to a lesser degree, home standby generator sales. Additionally there were year-over-year reductions in capital spending with certain of our telecom customers during the quarter and the overall market softness we have experiencing this year within Latin America also continued in the quarter. As previously discussed on our last earnings call we monitor detail power outage activity internally and over the last seven quarters, outage severity has remained lower than lower historical base line levels. This extended low period of outages has significantly reduced demand for portable generators and has also resulted in moderating growth within the home standby market. In addition, the lower overall outage environment is slow, the expansion of our residential dealer base during the current year. Over our long history in this business, we've experienced power outage environments of running cycles. In the past few cycles, both above and below the baseline average have had the most immediate impact on our residential business. From a longer term perspective, we continue to expect the trend of an increasing level of power outages to remain in place, driven by an aging and underinvested electrical grid, favorable demographics and the frequency of severe weather that we believe will continue well into the future. That being said, we obviously can't predict the timing of power outage cycles. However, historical experience would suggest that we will return to the baseline level of outages in the future. That being said, we've worked hard to diversify Generac over the last several years through both organic efforts and acquisitions that have helped to reduce the impact from these outage cycles. As a result, while periods of reduced outages will have an effect on our business, it will be to a lesser degree in the future. Although the lower outage environment has negatively impacted demand for portable generators, we continue to see progress from our initiatives in the home standby market, which have proactively targeted likely buyers of these products over the last few years. Activation rates for home standby generators have proven to be resilient during the third quarter and thus far during the fourth quarter. This further reinforces our belief that permanently installed standby generators are an emerging product category as a backup power solution for homes, with an installed base that continues to grow. We also see increased awareness for this product category building as there were some encouraging regional growth trends experienced during the third quarter. Although the Northeast faced the strong prior year comparison from the afterglow Superstorm Sandy, there were other regions that experienced strong year-over-year growth such as the Midwest and Western regions of the U.S. as well in Canada. In Canada specifically, the major driver was within the Ontario province, which experienced some elevated power outage activity during the second half of 2013, including an ice storm that left over 300,000 utility customers without power for several days. Since that time we've seen our dealer count in the Toronto area nearly triple. We believe this represents yet one more example of an localized area experiencing a sustained power outage and which has led to a significant expansion of distribution in that market and ultimately will lead to a new and higher baseline of demand for our products in that region. While there hasn’t been a major broad base power outage event since Superstorm Sandy in the fourth quarter of 2012 and the overall power outage development has trend to well below normalized levels since that time, we are very encouraged by pockets of activity we see across the country that continue to drive the baseline demand for home standby generators. We're also intensely focused on a number of proactive growth initiatives to further increase the awareness of home standby generators. Through a combination of our unique sales and marketing tools, including our AMP targeted marketing process using advanced data analytics and our direct response television campaign along with our digital and traditional advertising efforts we've been successfully generating new sales opportunities for our residential dealers. These sales leads are directed to our Generac lead team for qualification and scheduling of an in-home consultation or an IHC as we refer to it through our PowerPlay in-home selling solution. Recall that many of these sales and marketing tools only became fully operational within the last two year and we have continuously improved them since their launch. As an example, our most recent version of our PowerPlay App, which will launch this month, has numerous improvements and functionality for our dealers. This includes a new proposal format that offers homeowners several options for their backup power needs allowing for a wider range of project budgets. Additionally, we recently integrated a new financing portal into PowerPlay that simplifies the qualification and extension of credit to homeowners. PowerPlay has become an important sales tool for our dealers, but it represents only one component of our broader selling system that we have delivered on and include several new and improved training programs designed to improve sales closure rates for our dealers using PowerPlay. With only approximately 3% of U.S. households owning a stationary backup generator, we believe there remains substantial opportunity to grow the residential standby category over the long term. Even though we currently are in a below average period for outages, we remain focused on building out and enhancing our competitive position within the portable generator market as we look to further solidify our leading position and providing a full range of backup power products to the residential market. Toward this goal, in early September we purchased the brands and assets of Pramac America, LLC, thereby acquiring the Powermate trade name for using certain residential engine power tools as well as the rights to license the DeWalt brand name for portable generators. Most notably this acquisition helps to expand our portable generator product offerings at both the consumer value into the market through the Powermate brand and for the premium contractor segment through the DeWalt brand. Sales of our commercial and industrial products during the third quarter benefitted from the contributions of recent acquisitions and continued strength in oil and gas markets. This was more than offset however by a decline in shipments to telecom national account customers as compared to the prior year, which was primarily the result of a reduction in capital spending by certain major customers in this vertical end market. As we have noted over the last several years, capital spending for our telecom national account customers can be somewhat cyclical, the variations from quarter to quarter and year to year. While we experience robust growth in shipments to telecom national account customers particularly in the second half of 2013, the current year has been more challenging as certain customers have decided to reduce capital spending for generators in the back half of 2014. In spite of these recent reductions, we continue to believe the long term secular penetration opportunity for backup generators at cell tower sites remains firmly in place due to the need for wireless providers to protect their revenue streams as well as the increasing competitive and regulatory pressures they face to harden their networks. As only 30% to 35% penetration of generators on cell tower sites, we believe there is a significant runway to continue to penetrate this sector as the leader in this vertical end market. Our Ottomotores business, which is based in Mexico and also has an operation in Brazil continues to experience a softer demand environment, primarily due to tepid economic growth throughout Latin America, which has led to reduced infrastructure spending in the region. Although the market has been recently challenging, we've been making good progress on our integration efforts with Ottomotores and we continue to believe this will be an essential platform for our international expansion efforts by providing a local manufacturing presence and access to the important Latin American market for power generation and other engine powered equipment. During the third quarter, we continue to see some notable strength from rental equipment customers in the U.S. both as a result of strong demand in the oil and gas market and a continued pick up in non-residential construction activity. As we've been discussing in recent quarters, we're particularly excited about the increased exposure of the oil and gas market that the combined Baldor and Magnum acquisitions have given us. Through these companies we now have a broad product line of mobile and stationary equipment including gaseous fuel generators that are capable of running on wellhead gas generated at drilling and production sites. Advances in drilling techniques over the past several years have led to significant increases in shale oil and gas production, which we believe is poised to continue over the longer term. This creates an attractive secular opportunity for both mobile and stationary power equipment demand including the need for support equipment such as light towers, generators and pumps that are essential at these drilling and production sites. In addition the regulatory environment around the flaring of natural gas extraction sites has been a catalyst for increasing demand for gaseous fuel generators. We're making solid progress in further evaluating the overall opportunity in oil and gas to better determine the appropriate levels of investment and resources needed as we position ourselves to participate in this potential long-term up cycle. Part of this assessment is included in analysis of other engine powered products that are used by customers within the oil and gas market. And with that analysis in mind, we recently announced the acquisition of a MAC heater company in Bismarck, North Dakota. MAC is a leading manufacturer of premium grade commercial and industrial mobile heaters within the U.S. and Canada and offers a broad product line that includes flameless, indirect-fired and hydronic surface heaters ranging in size from 200,000 BTUs to 4.2 million BTUs per hour. These products are primarily used in the oil and gas and construction markets as well as other industrial sectors and are primarily sold through national equipment rental companies and independent dealers. The addition of MAC provides immediate access to a diverse line of mobile heating equipment that is essential to colder climate oil and gas and construction sites. We're excited about the potential cross-selling opportunities this acquisition brings as we combine MAC heater product line with Magnum's broad relationships in the equipment rental market and allows us to further penetrate the oil and gas market. Lastly as it relates to C&I in the third quarter we began the consolidation and the manufacturing footprint for our larger industrial generators from our Eagle Wisconsin facility to the recently Baldor facility in Oshkosh Wisconsin. This transition resulted in the deferral of some shipments for certain products, which impacted our third quarter results modestly. We expect to complete the consolidation of these operations during the fourth quarter. With this project and with the increased demand for the product line acquired in the Baldor deal, we expect to see improved utilization of the Oshkosh facility on a go-forward basis. The additional capacity that Oshkosh provides, our industrial business is critical to our ability to aggressively pursue the larger end of the industrial generator market, a market we've largely not participated and prior to the Baldor acquisition. I would now like to turn the call back over to York to discuss third quarter results in more detail. York?
York Ragen: Thanks, Aaron. Net sales for the third quarter of 2014 were $352.3 million as compared to $363.3 million in the third quarter of 2013, with the prior year benefiting from the continued afterglow period of demand from Superstorm Sandy as well as robust capital spending by certain telecom national account customers. Looking at net sales by product class, residential product sales during the third quarter of 2014 were $183.7 million, which improved as compared to $179.6 million in the second quarter of 2014. This sequential quarter-over-quarter improvement was driven by a solid increase in shipments of home standby generators. Partially offsetting the sequential increase was a normal seasonal decline in power washer sales as the second quarter tends to see elevated power washer sales given the spring clean season. Comparing on a year-over-year basis, residential product sales declined from the $192.7 million shipped during the third quarter of 2013 with a combination of factors leading to the decline. First, sales of residential products in the prior year third quarter were still benefitting from the afterglow demand from Superstorm Sandy, which occurred in the fourth quarter of 2012. As we have previously indicated, the afterglow demand from major outage events can last for several quarters with the anniversary of the event creating increased awareness as well. In the case of Superstorm Sandy, this afterglow demand was significant throughout 2013. In addition, the third quarter of 2014 continue to experience a power outage environment that remained well below baseline levels. This is now seven quarters in a row where power outages have been below average. These factors resulted in a significant year-over-year percentage decline in portable generator sales and to a lesser extent a modest year-over-year percentage decline in shipments of home standby generators. Additionally during the current year quarter, we closed on the acquisition of Pramac America, LLC, which contributed only slightly to shipments of residential products during the period as it closed on September 1 and given its relatively small size. Looking at our Commercial & Industrial products, net sales for the third quarter of 2014 were $146.4 million as compared to $151.5 million in the prior year quarter. The decline in C&I net sales was driven primarily by the timing of shipments to certain telecom national account customers. During the prior year third quarter we shipped a significant amount of product to a major telecom customer as they continue to invest in hardening their wireless network. During the current year third quarter that same customer reduced their capital spending on generators resulting in a significant year-over-year decline in sales. As we have previously discussed, the timing of shipments for our telecom national account customers can vary from quarter to quarter or year to year. The decline in telecom shipments was partially offset by the acquisitions of Baldor Generators which closed in November 2013 and Tower Light which closed in August 2013. Additionally, strength in oil & gas markets has resulted in significant demand for our mobile products as increased utilization of this equipment at oil & gas extraction sites has driven significant orders from our broad rental customer base. Our other product sales category improved to $22.1 million in the third quarter 2014 as compared to $19.1 million in the prior year. This growth is due to an increase in service part sales as the base of our stationary and mobile products in the market continues to grow. To a lesser extent parts sales from recent acquisitions also contributed to this growth. Gross margins for the third quarter was 37% compared to 38.4% in the prior year third quarter. Gross margin was predominantly impacted by increased promotional activities during the current year quarter along with the sales mix impact from recent acquisitions including Baldor, Powermate and Tower Light. These declines were partially offset by our higher sales mix of home standby generators and a lower mix of telecom C&I product sales. Operating expenses for the third quarter 2014 increased $7.3 million or 14% as compared to the third quarter of 2013. The increase was primarily driven by $5.6 million favorable adjustment to warrantee reserves in the third quarter of 2013 that did not repeat in the current year. Increased marketing and advertising expenses over the prior year quarter and the addition of operating expenses associated with the recent acquisitions were partially offset by $1.7 million reduction in amortization of intangible assets versus the prior year. Adjusted EBITDA was $83.1 million or 23.6% of net sales in the third quarter of 2014, as compared to $100.1 million or 27.5% of net sales in the same period last year. This decline in adjusted EBITDA margins compared to prior year was attributable to the 1.4% decline in gross margins combined with an increase in operating expenses as a percent of net sales as a result of the factors just discussed. Most notably the $5.6 million favorable warrantee reserve reversal in Q3 2013 that did not repeat in the current year. Adjusted EBITDA over the last 12 months as of September 30, 2014 was $348.7 million or 24.3% of net sales. GAAP net income for the third quarter of 2014 was $36.5 million, as compared to $47.1 million for the third quarter of 2013. Adjusted net income as defined in our earnings release was $57.9 million in the current year quarter versus $73.7 million in the prior year third-quarter. This decline over the prior year as a result of the overall decline in operating earnings as previously discussed, partially offset by $3 million in lower cash income taxes. Diluted net income per share on a GAAP basis was $0.52 in the third quarter of 2014 compared to $0.67 per share in the third quarter of 2013. Adjusted diluted net income per share as reconciled in our earnings release was $0.83 for the current year quarter compared to $1.6 per share in the prior year quarter. With regards to cash income taxes, the third quarter of 2014 includes the impact of a cash income tax expense of $6.5 million as compared to $9.5 million in the prior year quarter. This year-over-year decline in cash income taxes was primarily the result of a reduced cash income tax rate expectation, together with lower pretax earnings relative to the prior year. Our cash income tax rate for the full year 2014 is now anticipated to approximately be 14% versus our previous expectation of a range of 17% to 18%, primarily due to the reduced full-year outlook and to a lesser extent a higher level of benefit from certain tax credits from previously expected. Although cash income taxes declined during the current year quarter, year-to-date cash income tax expense for the third quarter of 2014 increase to $28 million as compared to $16.7 million in the comparable prior year period. As we have commented during recent earnings calls, our cash income taxes for full-year 2014 are expected to increase over the prior year due to a combination of NOL carry-forwards and certain tax credit carry-forwards becoming fully utilized during 2013 as well as certain discrete tax deductions that were taken in 2013 that will not repeat in 2014. As a reminder, even though we are paying increasing levels of income taxes our favorable tax shield through annual intangible asset amortization in our tax return remains intact to 2021 resulting in approximately $49 million of cash-back savings per year for the next eight years. As a result, our cash income tax rate is expected be significantly lower than our currently projected 32% to 33% GAAP income tax rate in 2014. As we drive higher profitability over time cash income taxes can be estimated by applying a projected longer-term GAAP income tax rate of approximately 36% on pretax profits going forward and then deducting the approximately $49 million of annual cash-back savings from the tax shield each year through 2021. Free cash flow, defined as net cash provided by operating activities less capital expenditures was $47.8 million in the third quarter of 2014 as compared to $76.7 million in the same period last year. The year-over-year declined was the result of a decline in operating earnings during the current year quarter and increasing capital expenditures over the prior year and increase in cash interest paid due to the timing of required interest payments in the prior year third quarter relating to the credit agreement refinancing completed in May 2013. Free cash flow over the last 12 months was $208 million. With regards to the primary working capital the Powermate America acquisition which closed on September 1, 2014 added approximately $18 million of primary working capital to our balance sheet as of September 30, 2014. As we mentioned in our earnings release this morning, we made a voluntary prepayment of debt during the third quarter of 2014 totaling $50 million which will be applied against our 2015 excess cash flow payment that is required pursuant to our term loan credit facility. Because this excess cash flow payment would have been required in 2015 we decided to capture the benefit of the lower interest expense earlier by prepaying a material portion of the anticipated payment in the third quarter. The $50 million debt prepayment made during the quarter resulted in the recording of a $1.8 million loss on extinguishment of debt which is included within other income expense on the income statement. Updating our interest expense guidance, our cash service costs are now projected to be approximately $41 million for the full year 2014 while amortization of deferred financing costs and original issue discount is now expected to be approximately $7 million during the year, for a full-year 2014 GAAP interest expense totaled approximately $48 million. As of September 30, 2014 we had a total of $1.11 billion of outstanding debt net of unamortized original discount and $173.2 million of consolidated cash and cash equivalents on hand resulting in consolidated net sales of $938.9 million. Our consolidated net debt to LTM adjusted EBITDA leverage ratio at the end of the third quarter was 2.7 times a level that remains within our targeted range of 2 to 3 times. With that, I'd now like to turn the call back over to Aaron to provide additional comments on the remainder of 2014.
Aaron Jagdfeld: Thanks York. We are revising our prior guidance this morning for 2014 in terms of revenue growth and adjusted EBITDA margins. The revised guidance is primarily due to the assumption that the current power outage environment remaining below normalized levels, the continued reduction of capital spending with certain telecom customers and overall economic softness within Latin America. For the full year 2014 net sales are now expected to decline in the mid-single digit range over the prior year which compares to the previous expectation for net sales of an increase in the mid-single digit range. Shipments of residential products are expected to decline in the fourth quarter as compared to the fourth quarter of 2013 mainly due to a strong year prior comparison for home standby generators. This is primarily the result of the prior year fourth quarter including the one-year anniversary of Superstorm Sandy which drove a higher level of awareness and demand from standby generators. Shipments of Commercial and Industrial products are expected to increase during the fourth quarter of 2014 as compared to the prior year. This increase is primarily the result of recent acquisitions as well as the completion of the Oshkosh facility consolidation partially offset by a continued year-over-year reduction in telecom shipments. In summarizing our sales growth assumptions for 2014 excluding the impact of the $140 million headwind related to the first half 2013 production ramp in residential products and normalized lead times, we now expect total organic year-over-year growth to be approximately flat. This expectation of flat organic growth on an adjusted basis represents the holding of the new and higher baseline demand for full year 2014 following a very strong period from 2011 to 2013 where compounded annual growth exceeded 25%. Equally important, the holding of this baseline level is occurring with the backdrop of a softer demand environment in certain of our end markets during 2014 as we previously discussed. With regards to gross margins, were are expecting an approximately 150 basis point decline sequentially in the fourth quarter of 2014 as a result of a higher mix of C&I product sales partially offset by price cost improvements expected during the quarter. We are also revising our adjusted EBITDA margin guidance for full year 2014 to now be in the low to mid 20% range as compared to the previous margin expectation of the mid 20% range. Adjusted EBITDA margins specifically during the fourth quarter of 2014 are now expected to decline approximately 50 basis points on a sequential basis as compared to the third quarter. We expect that we’ll continue to generate significant free cash flow in 2014, given our strong margin profile, low cost of debt, favorable tax attributes and a capital efficient operating model. In closing this morning, although certain of our end markets are performing below our expectations we remain focused on the numerous compelling secular growth opportunities for our products. We continue to believe that a substantial penetration opportunity exists for residential and like commercial standby generators, and we are encouraged by the strong momentum we are seeing in the oil & gas markets. Longer term, we are also optimistic about the increasing need for our products used in certain end market verticals, such as telecommunications and data as well as the opportunity to increase our share of the C&I markets through our recently expanded product offering. In addition, we believe the overall secular shifts in the market through our natural gas generators and the rental of mobile power equipment remain in place. With our strong balance sheet and free cash flow generation profile, we are confident in our ability to continue to investment in the future growth of the business, both organically and through acquisitions. In doing this, we expect to benefit from being a more balanced and globally focused company as we further implement our diversification and international expansion strategies. This concludes our prepared remarks this morning and at this time we’d like to open up the call for questions. Operator?
Operator: Thank you. (Operator Instructions) Please standby for your first question which is from the line of Ross Gilardi from Bank of America. Please go ahead.
Ross P. Gilardi – Bank of America: Yeah, good morning, thanks guys, just a couple of questions. First of all on your inventories, I mean it looked like they’re up 11% year-on-year on a 3% sales decline and it looked high relative to the last several years as a percent of sales. Maybe some of this is acquisitions, but I wonder if you can flush that out, specifically why your inventories elevated when a lot of your main products are made-to-order products and if we assume no further deterioration in the market, how long will it take you to get inventories back in the balance and what will you cost you on margin into 2015?
York Ragen: Yeah, this is York, yeah I mean that one, or about half of that increase in fact is acquisition related with the Powermate acquisition that came some portal inventory with that acquisition. I think I highlighted at least primary working capitalized was $18 million that came with that acquisition and a chunk of that was inventory. And then the other half is effectively us bringing in portable generators for the Generac portable season. Unfortunately, we didn’t have a season as we highlighted there weren’t you know outages have remained below average so that’s…
Aaron Jagdfeld: Yeah, this happens you know Ross, I mean the cadence with that side of the business is you build for the season and the same situation played out last year. I mean, we had elevated levels on portables. It takes us about you know anywhere from kind of six to nine months to burn that inventory down. We do it on an everyday basis. We don’t discount portable generators. That’s not you know you don’t know when an event is going to happen, so there’s no point in discounting portable gen’s because frankly the carrying costs for those products is you know the economic model there would tell you that discounting those products doesn’t make a lot of sense. Yeah, as it relates to some of the other inventory categories, home standby inventories actually internally here you know we, our activation rates as we noted on the call this morning have been quite strong third quarter and here into the fourth quarter already. And the momentum in that business even in spite of the lower power outage environment you know there’s kind of two seasons there. There’s the summer storm season and then you've got winter storms that kind of create elevated demand for these products over time and we’re actually kind of ramping production right now on the home standby side as we go into the fourth quarter as we’re in the fourth quarter here for that that kind of second season. So you know we would tell you that inventory levels that mix as it relates to those products is definitely in range with where we’d expect it to be at this point in the cycle.
Ross P. Gilardi – Bank of America: That’s presumably for your inventories Aaron, but do you feel like there is excess inventory in the dealer chain at all and do dealers have the flexibility to push any excess standby inventory that might have crept in there as a result of promotional activity back to Generac?
Aaron Jagdfeld: Yeah, you know the dealer, so dealer channel historically does not -- it's not a stocking channel for us. We do have obviously if you take you got 5,000 dealers. So even if every two dealer took a unit or two, there would be a fair amount of product out there. And there is product in the field, but actually we look at that, we're able to tell very clearly exactly what’s in the field, because we know what we ship and we know when it gets activated. So frankly by every channel we know specifically what's in each channel and we know actually to skew level we know that. And we've seen some very nice improvement in home standby inventories over the last 120 days. Again the seasonal cadence there distribution and when they do take inventory, they take it ahead a season, which they did in the second quarter. We noted that and we've seen that come down even in spite of not having the major outages. So actually we think that we're in really good shape in terms of when we look at like kind of days on hand if you will as a turn, that statistic is coming down very nicely over the last 120 days.
Ross P. Gilardi – Bank of America: Okay, thanks Aaron and then just I had a question on the balance sheet, you leverage I think now as a 2.7 times and if you move forward a quarter and take sort of your implied guidance for Q4, you're going to be right near three times and I believe you want to keep your leverage three times based on your credit agreement terms or you incur an increase in your cost of debt as I think you’ve made reference to that in prior call. So based on that, can we pretty much assume you won't be making any sizable acquisitions or returning any cash to shareholders in near future? Why you are hovering around that three times range or would you potential tolerate a modest bump in your cost to debt for the right transaction.
York Ragen: For the right transaction Ross, it's a quarter point right on the rate and it's already a very low cost structure in terms of the liability structure. So from an acquisition standpoint, we won’t let that kind of impinge our ability to do deals. For the right deal, we've said this before, our ability to service our debt it’s a very low in terms of total cash flow profile as a company. Even at three times frankly its -- if we were to go above that and the debt were to creep up and the cost of debt were to creep up a bit as a result of that, but I think in the absence of any acquisitions, obviously we would like to keep that multiple below three times just from a standpoint of not paying the extra interest. One of the reasons we took a proactive approach here at the end of the third quarter to pay down some debt simply because we want to take advantage of the lower -- why not get the interest savings in the fourth quarter so we made that decision.
Aaron Jagdfeld: The reality is we have that excess cash flow payment we were going to have to make anyway in 2015. So we just decided to take advantage of interest savings ahead of time.
York Ragen: I think our uses of cash priorities can remain intact. We are going to generate a lot of cash over time as well. As we talk about our strong free cash flow and our strong free cash yield we'll be able to generate a lot of cash as well. So I think prior uses of cash still remain intact in the order that we've always talked about in terms of organic growth and maintaining two to three times leverage and then M&A and then after all that then the Board would evaluate return of capital to shareholders.
Ross P. Gilardi – Bank of America: Is it only a quarter, sorry to interrupt, is it only a quarter point on the rate up until say 3.25 times or what's the…
Aaron Jagdfeld : Only a quarter point that’s it regardless of anything above three.
Ross P. Gilardi – Bank of America: Okay. Got it. Thanks guys.
Operator: Thank you. The next question is from the line of Charley Brady from BMO Capital Markets. Please go ahead.
Charley Brady - BMO Capital Markets: A little bit of commentary on the promotional activity in the quarter. How much does that impact the sales in the quarter and if we had normal promotional activity because it sounds like it was elevated, sequentially would you still had growth in the standby generator sales and then I want to understand a bit better the commentary around strong activations, but standby sales being down?
Aaron Jagdfeld: Yes Charley from a promotional standpoint, obviously again the cycle in this business and again I am talking residential here, when you get into periods where this business is -- outages do matter in this business for generator company. So we tend to when you don’t see outage activity to the baseline level, we will tend to promote more obviously to try and stimulant end demand beyond that which the end markets not naturally doing through that baseline average. So in terms of -- I can't attribute to total dollars that we would are related to the promotional activity in the third quarter. We had promotional activity in the second quarter as well, which we called out. So my belief again peeling it back, we're not giving you the details, but it grew sequentially in both and so the second part of your question the activation rates we've said that there was inventory in the channel in the second quarter’s result of the preparation of the season and over the last 120 days, we've seen those turns improve in distribution. So there is a work down of some of that going on as activations have picked up. So you got a little bit of that that’s happening. There is also a lag -- the activations are after the sales happened. There is a period of time between when an in-home consultation is done to when the home owner decides to actually go forward with the purchase to when all the permits are issued on the job and the dealer orders from us and then to when the dealer actually puts the machine on the ground and activates it. So it is a bit of lagging indicator. So we would throw that out there to make sure that everybody is aware of that fact, but I would tell you that from just peer end and demand and what we see, we think that a lot of that's from our efforts on the proactive side and clearly it has to be because the outage environment has been very weak, more weak than we've seen it in a long time. We've seen cycles I've been with the company 20 years and we see cycles over that 20-year period. It's just -- that's how outages run. You run through periods of elevated outages and periods where you're below and that's just part of the business model. But I think the fact of the matter is that our proactive efforts today when I wind the clock back over my history with the company, we're doing so more today to stimulate end demand and defined the more likely buyers of these systems than we've ever done and we're using data to do that, which I think is really a critical advantage that we have is our market share improved during the quarter. We believe we were up to 75% share in the market today and we think that that improvement is coming purely from the standpoint that we've got more data at our fingertips to find the more likely buyers of these systems in spite of not really having the outages. So the advantage that we get in kind of down periods like this I think is exacerbated by the fact that we're using a lot more tools to our advantage much more so than anybody else in this industry could do at this point.
York Ragen: I’ll just add, you had mentioned year-over-year discussion and last year was still benefiting from the afterglow from Superstorm Sandy, there is, it was an event that had a long tail and even when you look at the one-year anniversary of that event that tail even did extend into Q4. So we've got that deal with as well.
Charley Brady - BMO Capital Markets: Can you quantify the Sandy in the back half? You said 140 for the first half, but is there any numbers you can put around that?
York Ragen: The 140 is…
Charley Brady - BMO Capital Markets: The 140 was really as the lead time is coming in when you get pass that, then how do you attribute purchase in November of 2013 to Hurricane Sandy in October of 2012, it's hard to like delineate that.
Aaron Jagdfeld: So we had a small localized outage and that was the second or third outage it had in a period of time. So attribution back to a particular event is almost impossible to do.
Charley Brady - BMO Capital Markets: Okay. Just one more on the C&I side, can you quantify the deferred shipments in Q3 that are going to come back in Q4 and are they all coming back in Q4?
Aaron Jagdfeld: Oh, you're talking about the…
Charley Brady - BMO Capital Markets: You stock got deferred, so are you consolidating the plan moving the plant.
Aaron Jagdfeld: We're not going to get all it back in the fourth quarter. There is a lot of it that's coming back. That was a big project to move everything and consolidate our footprint there and it's going to give us a great platform to work off of going forward, but it did come with some deferral of shipments here that -- and we're going to get a lot of that in the fourth quarter. And as we said in our prepared remarks, we had a modest impact on Q3 in terms of C&I but we'll get the lion's share of that back in the fourth quarter, but not 100% of it.
Charley Brady - BMO Capital Markets: Thanks guys.
Aaron Jagdfeld : Thanks.
York Ragen: Thank you.
Operator: Thank you. The next question is from the Jerry Revich from Goldman Sachs. Please go ahead.
Jerry Revich - Goldman Sachs: Good morning.
York Ragen: Good morning, Jerry.
Jerry Revich - Goldman Sachs: Can you talk about where lead times stand now for your standby business and update us on the dealer count and you alluded to it in the opening remarks and also just as a follow-up what does your lead generation work suggest and volume will look like in the fourth quarter versus third quarter?
Aaron Jagdfeld: Yes. So in terms of lead times Jerry, lead times are well within the zero to two weeks that we would normally see. Kind of off season if you will given the low environment that we have, although again with activations being elevated demand has been as we called out, sequentially more robust from Q2 to Q3. Dealer counts that’s been a challenging area for us. When you get periods in the cycle here like we're experiencing with lower outages we are having some difficulty signing up new dealers on a gross dealers count. There is some difficulty there, but that’s not really where the difficulty lies. The difficulty lies in what we refer to as dark doors, which is the dealers who don’t purchase in a 12-month period, where actually we take a pretty conservative view there. I don’t know how other companies do it, but we say that if a dealer hasn’t bought from us in 12 months, he goes dark and we take him out of the dealer count. Now in lot of cases those dealers don’t go away, they have just have bought in 12 months. So there is still officially quote unquote “dealers” for us but we just don’t include them in the count for the purposes of this call or for the way that we talk about distribution. If you get an event in an area and a dealer hadn’t bought in 15 months, we could see a reactivation of a dealer down the line. That count is down slightly here in the third quarter from the second quarter. Down around that kind of 5100 number from the 5200 that we were at the end of second quarter. That’s going to be a challenge for us for the balance of the year. I think we can end the year somewhere in that 5100 to 5200 number kind of hold that number through the rest of the year and we feel pretty good about that. As far as directionally into the fourth quarter, again I think we've called the fourth quarter contains a pretty difficult comp because as York mentioned a couple of times that the anniversary of Sandy, whenever you get the anniversary of a major event, that anniversary period as it relates to last year having happened in October of last year, creates additional awareness, creates additional generally a small surge in demand that happened. Sandy was a big event and had a fairly big anniversary event as a result in Q4 of last year. So we've got that comp that we were coming up again and so we called out that sequentially we're going to see some challenges there relative to that comp.
York Ragen: And our guidance assumes that outages stay below normal at the current rate coming into Q4 here.
Jerry Revich - Goldman Sachs: Okay. And just to make sure if outages standby down sequentially obviously year-over-year is a really tough comp, but down sequentially as well as what you're looking for.
York Ragen: Resi and all, that's how we don’t break it how, but resi and all would be -- that would be the case based on the implied guidance.
Aaron Jagdfeld : And primarily as a result of that comp.
Jerry Revich - Goldman Sachs: Okay. And then, okay, thank you and then for C&I can you just update us on where your telecom customers are in the standby build-out on existing towers and it looks like are they taking a pause here or are they nearly through that process and just should we think about tough competitors through the first half of next year or is this is a timing issue in the back half of this year.
Aaron Jagdfeld : Yes, we’ll save our comments for next year on the next call because we're working through that and obviously trying to get some better visibility from those customers today on their plans for 2015, which they’ve not even necessarily declared to us at this point. So as the year rounds out, hopefully we'll get some better visibility. We call this out from time again Jerry that visibility in the telecom market for us even quarter-to-quarter year-to-year is difficult. Longer term we've serving this market for the better part of two decades. It's grown dramatically over that two decade period. The penetration rate being only 30% to 35% of total sell site out there and we estimate there is roughly 300,000 sites that are out there. So call it a couple 100,000 sites yet that don’t have back up power on them. We see tremendous runway either whether through regulatory pressure or just frankly the protection of the revenue streams that these customers have that valuable data revenue stream that goes through sites and the critical communication is going through these sites and we're the number one provider in this market. It's been a great market for us. We love those customers. We just unfortunately don’t get a lot of visibility in terms of just quarter to quarter. So our guidance in Q4 contemplates that will stay in a reduced capital spending environment here with those customers for the balance of year. Unfortunately that can turn on a dime. We've gotten calls where customers want to burn budgets before the end of the year and when I say customers, I am using a plurality there. It's really a single customer this year that's backed off their capital plans pretty aggressively and just working through their cycle and we expect longer term -- we expect that that will return to growth its just a question of when.
Jerry Revich - Goldman Sachs: Thank you.
Aaron Jagdfeld: Thanks.
York Ragen: Thanks.
Operator: Thank you. The next question is from the line of Mike Halloran from Robert W. Baird. Please go ahead.
Michael Halloran – Robert W. Baird & Co.: Good morning Aaron and York.
Aaron Jagdfeld: Hi Mike. 
York Ragen: Hi Mike.
Michael Halloran – Robert W. Baird & Co.: So could you just talk a little bit about call to confidence in the base business here? It certainly seems like you're calling what you're seeing on the residential side to be a baseline on a forward basis and given the lack of storm activity or outage activity in this case maybe you just talk about the puts and takes that you're seeing on that that gives you the confidence that this is the right baseline to think about?
Aaron Jagdfeld: Yeah I mean it is a great question Mike, and obviously we struggle internally ourselves to understand after each kind of elevated period we called out the compound annual growth rate of 25% from 2011 to 2013 and trying to figure out where that baseline comes in after that, these kind of cycles work through has always been a challenge in the business. And I think the one immutable truth in this business over my time with it is that there is a higher level of baseline demand that does become pronounced. It holds and figuring out where that hold is at you know I don’t know if we write a call that this is actually it. I feel like in the business given the activation data we're seeing, given the proactive approach that we've been taking and the things that we're doing to give our dealers and our distribution partners more success in the marketplace in terms of sales tools and the training. I mean just the sheer amount of effort that we're putting into that is really I think a pretty great testament. I think the one thing you know seven quarters of really reduced outages is not, it's just a, it sets the baseline and we think that this probably is a great point to say, hey this demand kind of that we're seeing right now, end demand that we're seeing right now would be the baseline. And so, we like where that's kind of settling out. You know it's just it's unfortunate that some of the other things in the business like on the scene aside with telecom and the softness in Latin America, all those things that kind of hit in one quarter which is regrettable. But you know, I mean some of that I would say but for maybe the consolidation of our manufacturing footprint which is certainly in our control, but you know even that is a project that just led to some deferral of some shipments. But everything else kind of just is lined up against us in the quarter and that's from our standpoint, the base business is very healthy. You look at oil & gas, you look at the rental markets, you look at natural gas generators. We like the recovery going on in the non res markets in C&I. All of those things are good things. You know we think the economic environment in the U.S. is firming up and that should portend to good things I think in the future. And outages will not stay low forever, I mean that's just there's a return to the baseline average at some point. It just is you know it is right now we're in a cycle where it's down. And it will come back and I've watched this business enough to know that when those things do come back they come back pretty aggressively and that's just how this business works.
Michael Halloran – Robert W. Baird & Co.: That's fair and that kind of gets to the next question here. I'm not asking you guys to print the guidance or anything like that, but when I think about next year and I think about the baseline level business today, and I think about the lack of outages that you've seen so far, you know maybe talk about the puts and takes and specifically stay on the residential side that could help actually see a return to growth in 2015. I mean it certainly seems based on the internal initiatives that you're seeing in the environment that that is a growth expectation from a portfolio perspective on a forward basis. I'm curious how you are looking at those puts and takes next year?
Aaron Jagdfeld: Yeah, I mean, obviously we're working on next year's plan at this point and you know we'll be able to speak more discretely to that when we get into 2015. But I think just not in the initiatives, that kind of underpin that and certainly underpin what we're seeing this year, and my comments but also would underpin next year. I mean we've got some, you know, I talk, we talk about this data that we've got, I mean we've been collecting activation data now for four years. And the amount of data that we have is, I mean frankly it's staggering even by our standards. Well we've amassed in four years time in the outage data we've been tracking over that same four-year period and it's very detailed date. It's down to the household level, down to the DMA, we're down to zip codes and down to just some of the mining of that data, I think we've only been kind of superficial in our mining of that to date. We've got some pretty aggressive projects on the docket for next year to involve a lot more we will list some help frankly in analyzing that data at the level of depth that we haven’t to date to try and drive even further you know trying to find those proactive buyers and trying to get the right messages to the right people at the right time. I mean there’s some pretty amazing things that we think we can do with the data that we haven’t done yet. And so I’m excited just from that standpoint because I think it unlocks some potential there that’s not there, you know so that can be as pretty exciting. I think another area that we’ve been focused on is in the installation side of the equation with staying on the residential side again as you want to do. That installation component continuing the work to bring that installation cost down. We work very, very hard here to be very, I’ll call value based when it comes to the product in terms of whether it be home standby or portable for that matter. But in speaking about home standby, you know the installation is still a large overall part of the total cost of ownership. And so from our standpoint there are both technical solutions available to us and we’ve been working on for a number of years to try and reduce the cost in installation, but also market forces. You know we have five thousand dealers out there and we have been collecting speaking of data and enormous amount of data from power play. Remember power play gives us visibility to the entire proposal that a dealer is putting out there for the consumer. So I now not only have the generator component of that, but I have the installation component of that, and then some cases that are very detailed level. So it’s given us some great data and insight into just where is the installation cost coming from and how does it vary region to region and dealer to dealer. And we see some really good opportunities for best practices to be shared amongst dealers in terms of reducing install costs and being more efficient during the installation itself. And there’s I think some market forces that that I think we can use to our advantage to try and drive a lower install cost for homeowners going forward. So, those two things in particular Mike, you know again we’re excited about the opportunity in these things and we haven’t really, we've been focused on more on the fringe, but not maybe in the bulls eye here and that’s really where we’re going to focus on going forward.
Michael Halloran – Robert W. Baird & Co.: Thanks for the time.
Aaron Jagdfeld: Thanks Mike.
York Ragen: Thanks Mike.
Operator: Thank you. The next question is from the line of Jeff Hammond from KeyBanc Capital Markets. Please go ahead.
Jeffrey D. Hammond – KeyBanc Capital Markets, Inc.: Hey, good morning guys.
Aaron Jagdfeld: Good morning Jeff.
York Ragen: Good morning Jeff.
Jeffrey D. Hammond – KeyBanc Capital Markets, Inc.: Again just, you talked about you know I know most of the focus has been on kind of that the storm and residential. But you talked about oil & gas as an opportunity. Can you just size how big you think the oil & gas market is for you guys kind of given the couple acquisitions? And what’s kind of the timeframe where you think you’ll have a more formidable kind of approach or proactive approach to kind of addressing that big opportunity?
Aaron Jagdfeld: Yeah, it’s a great question Jeff the one that we’ve been intensely focused on here. As we said on the last call, we kicked off a pretty aggressive project internally here to do exactly that, to quantify the opportunity, to understand the service model we need, to be successful there, the products you know where there are gaps or product opportunities. That’s ongoing, I mean we’re coming to the tail end of it here, as we get our plans formulated for 2015 and it’s our intention when we get to kind of 2015 guidance that we’ll give on the next call to kind of I think frame that out more discreetly for investors and yeah, we'll have a much better idea ourselves what’s going to be needed to be successful there in terms of the investment level that matches that opportunity level. We think the opportunity level is pretty big. We're just you know getting out arms around exactly how big and where can we play, where can we be successful. I mean you have the backdrop too. Oil prices coming down, so you know trying to quantify some of the impact on that in the short term, longer term we just, you know we think it’s a multi decade run here domestic oil energy production. But in the short term there may be some variability with that that we’ve trying to get our arms around to understand. You know as a vertical for us in particular now when you pro forma in the MAC acquisition, the heater acquisition that we did, it's become an incredibly important vertical for us on our C&I side. It’s rivaling the telecom market for us in terms of the size, just raw size and frankly you know we like to grow trajectory of it. It’s grown well this year as we’ve talked and we think there’s a tremendous amount of upside and we see the opportunity to kind of carve out a niche there in the engine powered equipment space in that market that could be very beneficial to the company longer term and so, more to come on that Jeff. I appreciate the question. I think we’re just we’re probably just you know a little bit premature in getting too detailed about our kind of spelling out the opportunity, but it will come.
Jeffrey D. Hammond – KeyBanc Capital Markets, Inc.: Okay, great and then just some fine tuning questions. Can you give us the acquisition revenue in the quarter?
York Ragen: Yes, so the Powermate acquisition was very small and you recall them September 1, so on the resi side, those are first really acquisition that you think about in the resi side, but it was very small. When you look at C&I, so as reported C&I was down about 3%. Organically, with the telecom reduction, organically C&I was actually down 15% or mid teens, so it's roughly 12% contribution for acquisitions on just the C&I category.
Jeffrey D. Hammond – KeyBanc Capital Markets, Inc.: Okay. Great. And then can you size the annual revenue run rate or trailing on both the MAC and Powermate businesses?
Aaron Jagdfeld: Yes, Jeff, I'll start with -- that is an example of it and really was a portable generator and manufacturer and we see this cycle repeat. Unfortunately, that's a company I went through two of these before because it's focused only on portable gens. When you get into extended periods of low outages, part of the gen company just can't. They have a really difficult surviving if that's their business model. And so we basically that was really about buying the brands and some inventory working capital and it's small on a run rate basis because of just -- because of that current backdrop in the environment. I can't expand very quickly though as we've noted that when you get outages, that's the end of the market that expands pretty quickly. The MAC side, just from a competitive standpoint, we're not going to give you kind of the discrete revenue numbers. We disclosed that it's about 100 employees, it's really a niche focused company on really exposed very heavily to oil and gas and something that we think is the opportunity to put that into our kind of general rental customers on a more aggressive basis through the Magnum sales force or mobile product sales force. We really like the upside opportunity to do that in terms of revenue synergies, but that's something we're not giving to give the discreet numbers on that.
York Ragen: Unlike the margins on that business.
Aaron Jagdfeld: Yes exactly and the margins are greater in that business as well.
Jeffrey D. Hammond – KeyBanc Capital Markets, Inc.: Okay. And then just real quickly back to telecom, I know you don't always give great visibility, but just qualitatively as you talk to those major customers, does this kind of dip tied to some other spending or are they giving you kind of any color on how they're thinking about the product category and the spend category kind of long term and what their penetration rates are etcetera.
Aaron Jagdfeld: I wish I could tell you that we sit down and have deep meaningful conversations about that with them, but unfortunately I think that they approach it kind of from a project basis year-to-year and they make decisions puts and takes in their CapEx spending on when to kind of put this project ahead of others and when to put to this project behind others. And the dialogue right now has been strictly around -- and we're really talking again kind of about one customer here that had a project ongoing to 1harden their network more aggressively. They backed off of that project, whether it's tied to their decision and the announcement to make a big acquisition which -- they made an announcement as such earlier this year. We don't know. They don't give us that kind of detail, but again it's our belief and we've seen this movie kind -- I've watched this movie before and been through this cycle before and they back off, but then ultimately they come back to it because they understand the importance of hardening the network. And again I would -- may be I feel differently about this opportunity long term if we were at 75% or 80% penetration of cell sites, but being at 30% to 35% penetration and knowing that just kind of everything that's going through wireless today from data to critical communications, I mean that's only -- that's only advancing further. It's not relaxing. And so as the leader in that industry, we think that there is great opportunity long term, great runway in that. It's just unfortunate the visibility we get is low and it can be a bit from quarter to quarter and year to year it can be a bit, we hate this word, volatile, but in that particular segment, there can be some puts and takes that unfortunately we just don't get the kind of visibility we would like. It's a challenge to run a business that way. I would tell you that much. And I think one of the reasons these guys really like is, is we are incredibly flexible and we serve -- our served model for them is one of flexibility. Some of the inventory we've got that was asked about earlier. There is some inventory in telecom because we don't know when they turn it back on and want to go after a project or spend some budget. And so we keep ourselves kind of in the game that way and make sure that we're being responsive to their plans and their project plans.
Operator: Thank you. The next question is from the line of [Brian] (ph) from William Blair. Please go ahead.
Unidentified Analyst: Good morning.
Aaron Jagdfeld: Good morning, Brian.
Unidentified Analyst: First question just Latin America, what percentage of your revenue did that account for in the quarter roughly?
York Ragen: We don't give that out discretely. It is relatively small on a relative basis.
Unidentified Analyst: Yes, okay.
Aaron Jagdfeld: Percentage wise, Brian, if we broke it out; we would be given the revs. I think we said [indiscernible] revs before. I don't have the number in front of me. So I don't mean recording of the percentage is something I guess mathematically could be done, but we haven’t -- we haven’t done it that way, you can probably do the math though. But that business, that's a great business. 60-year history it's just, it's had a really difficult end market. They depend on big projects. There is a baseline business within that business of everyday kind of gen sets and then there is kind of the bigger projects and the bigger projects are an important element of that business. And unfortunately the bigger projects with the tepid kind of economic environment down in Latin America both in Mexico, but also in some other countries that frankly were important kind of element of what was going on in [indiscernible] Venezuela is one call out. That's an important market that has a lot of need for backup power on a big project basis without their dependence on hydro and the way that that can wax and wane from year-to-year. But with the dislocation going on economically in Venezuela and in other parts of Latin America, those big projects have really cooled off and that unfortunately hurt the business. I would say the other side of the equation with auto has been the transition away from one of the major engine suppliers there and to a new supply chain has been a bit more difficult than they probably estimate and probably then we estimated. We're through it now and I think we feel like we're at a point where it's good things ahead. We're seeing improvement second half over first half in our auto business in 2014 here. So we think that that's something that -- and as those big projects return as the economy improves with some of the things that we're hearing in Mexico and in other parts of Latin America, we're I guess -- we remain I guess, we're taking a little bit of a wait and see approach, but at the same time, we like the fact that it gives us a great base to operate from in Latin America and we're continuing to invest there, because we believe that that's going to be a great market over the next decade. It's just -- it's going to -- it's taking a little bit longer time to get around that process then maybe we thought.
Unidentified Analyst: Okay. Really appreciate the detailed answer there. And then in the past I think you’ve quantified for us in some way where we are in terms of outage activity. You mentioned you enormous data base there and you’ve got the baseline historically, but clearly we're at a low level, but can you quantify how low we are relative to history?
Aaron Jagdfeld: Yes, so in the quarter, I think we said last time 65% below when we were talking about Q2 and the baseline we we're referencing was through the end of 2010, excuse me, 2010 to 2012 without major outages. So the baseline from 2010 to 2012 without major outages, that was the baseline. Q2 outage level was 65% below that level. When you compare -- if you look at Q3 and you use that same 2010 to 2012, it's about mid 50%, 56% something like that below. That Q3 was about 56% below that. We think that kind of taking a conservative view on that, you’ve to kind of build the baseline. You’ve to add in the other quarters that have happened since 2012 without major outages, which are basically all of 2013 and what's going on here in 2014 and we would be -- so if you kind of recalibrate that baseline to include the more recent activity, the third quarters outage activity will be about 40% below that recalibrate baseline. So the baseline continues to grow every quarter you add to it and as we do that going forward, we'll try and get that information out there, but we would be about 40% below that in the third quarter. So it was well below. I mean it was really hard to see. If you will look at the month progression, I mean September was just like awfully below. It was terrible.
Operator: Thank you. And the last question is from the line Stanley Elliott from Stifel. Please go ahead.
Stanley Elliott - Stifel Nicolaus: Great guys. Thank you very much. Quick question on the SG&A spend, you kind of reworking the C&I distribution and then you talked about some addition sales training on the residential side and then you will see what happens with the go-to-market on the oil and gas side. But should we think of that business ex amortization on a go-forward basis as kind of running at higher levels than what you have had historically.
York Ragen: On a raw dollars basis are you talking Stanley?
Stanley Elliott - Stifel Nicolaus: Yes. Or percentage sales, however you want to frame it.
York Ragen: Part of your answer is looking on the 2015 and I guess we'll round those numbers up as we speak, so I would be speaking prematurely to talk about '15, but I think we have talked about over time as we've grown. We do invest in the SG&A infrastructure of our business to support not only the baseline, the new and higher baseline, but also to drive the future growth of the business. So you tend not to -- you have step functions of that SG&A as a whole, I guess…
Aaron Jagdfeld: I think I would this Stanley, again and I hate to keep coming back to history as a guide post because I know it's no guarantee of the future, but having been around the business as long as we have and our experience levels, one thing that and I think it's a classic mistake of others perhaps either in this industry and other industries when they experience kind of end market kind of cycles that are may be below like long term averages like we're experiencing with outages and our example. Continuing to invest in infrastructure is a really critical part about being able to take advantage fully of the next up-cycle. If you don't do that, you will find yourself unable to really capitalize on the next leg up in growth. We've said this before and unfortunately as a public company -- we've only been a public company for four years, so the public markets maybe haven’t seen the step function that occurs in this business from time to time, but as we look at it and look at it over history, those step functions do occur and those legs up can be aggressive and the flat part of the step or the trade part of the step if you will, that is the part that we feel that at least here in the back half of this year, we're certainly in. And we got -- I think you're seeing in the SG&A that level of spending that we're at today reflects our belief that the infrastructure investments are necessary to make sure that we fully capitalize on the next leg up. As you -- we'll give better guidance on that as we go into '15 in terms of where our thoughts and views are on that as we go forward, but at least as it relates to the back half of this year, I think what you're seeing reflected in the face of the P&L and in our guidance for Q4, definitely speaks for the fact that we're going to continue to invest in whether it be sales training or whether it's R&D for products or the infrastructure of the company, that's where -- we think that that's really important to continue to do.
Stanley Elliott - Stifel Nicolaus: Great guys. Thank you very much.
Operator: Thank you. I would now like to turn the call over to Mr. Aaron Jagdfeld, President and Chief Executive Officer for closing remarks. Thank you.
Aaron Jagdfeld: Great. We want to thank everyone for joining us this morning and we look forward to our fourth quarter and full year 2014 earnings release, which we anticipate we will be talking to you in mid February of next year. So with that, well thank you and have a good morning.